Operator: Good day, ladies and gentlemen, and welcome to today's CBS Corporation Second Quarter 2019 Earnings Call. Today's conference is being recorded. And at this time, I'd like to turn things over to Executive Vice President of Investor Relations, Mr. Anthony Diclemente.
Anthony Diclemente: Good afternoon everyone and welcome to our second quarter 2019 earnings call. Joining us with today's remarks are Joe Ianniello, our President and Acting CEO; Jo Ann Ross, our Chief Advertising Revenue Officer; and Chris Spade, our Chief Financial Officer. Following Joe, Jo Ann and Chris' remarks, we will open the call up to questions. Please note that during today's conference call results will be discussed on an adjusted basis unless otherwise specified. Reconciliations for non-GAAP financial information related to this call can be found in our earnings release or on our website also note that statements on this conference call relating to matters, which are not historical facts are forward-looking statements, which involve risks and uncertainties that could cause actual results to differ. Risks and uncertainties are disclosed in CBS Corporation's SEC filings. A webcast of this call and the earnings release related to today's presentation can also be found on the Investor Relations section of our website at cbsorporation.com. Before we begin, I want to note that the purpose of today's call is to discuss our second quarter operational and financial results, and we will not be commenting on speculation regarding M&A. And with that, I'll turn the call over to Joe.
Joe Ianniello: Thank you. Anthony, and good afternoon everyone. Today, I'm going to give you an overview of our strong quarterly performance and touch on the key highlights across our operations. Then as Anthony just mentioned, you'll hear from Jo Ann Ross, our Chief Advertising Revenue Officer. Jo Ann will talk about the state of the advertising marketplace and give you some color about our most recent upfront. And then Chris will give you more details about our financial results. As you saw in our release, CBS delivered double-digit revenue growth during the second quarter with solid increases across all three key revenue types. Advertising was up 7% with strong underlying network performance. Content licensing was up 12% driven by sales from our domestic library and affiliate and subscription fee for up 13% fueled by growth in retrans and reverse comp, as well as increases in our direct to consumer streaming services CBS All Access and Showtime. And on a year-to-date basis, our growth story is just as strong. These revenue increases are driven by our investment in premium content, which we continue to accelerate. Every decision we make is designed to build upon our position as a global multi-platform premium content company. CBS is now producing 89 shows up from 70 shows just a year ago. That's a 27% increase. As we create more and more content, we are monetizing its value using a two-pronged approach. The first approach is to produce more shows for our own platforms, particularly our direct to consumer services this investment helped drive a 17% increase in total OTT subs from last year's second quarter, representing an acceleration over the sub growth we posted in Q1. And the second approach we are using to monetize the value of our content is to take advantage of an increasingly lucrative licensing marketplace. CBS has become one of the most prolific content producers in the business with series like Dead to Me, one of the top shows on Netflix the much buzz about BH 90210 which just premiered on Fox last night and a new version of Kids Say the Darnest Things, which we producing for ABC. So, by increasing the amount of programming we're creating for our own content brands, while also selling our shows to third parties we are operating at a sweet spot in the industry and setting ourselves up for continued long-term growth. Now, let me tell you how that content is fueling our success across our businesses, starting with the biggest platform in media, the CBS Television Network which last month, received 44 Emmy nominations 10 more than a year ago. And as you'll hear from Jo Ann, CBS has a long track record as the most-watched network in America. We have 16 strong and established hits returning this fall and we will use this stability to launched five new series that we will be premiering on just two nights. This means we can be very efficient in our marketing approach. In addition, we will have ownership in more than 85% of our full-lineup, which is more than we own last year and our studio is already developing promising new shows for CBS's 2020 broadcast season as well. Turning to sports, we're just a month away from the return of the NFL, as usual Sean McManus and his team have worked closely with a lead to construct the schedule that we feel very good about, including a rematch of last year's over time AFC championship game between the New England Patriots and the Kansas City Chiefs and we are already planning for our next Super Bowl, which will be airing on CBS again in just 18 months. Meanwhile, Susan Zirinsky has welcomed in a new day at CBS News, quality, broadcast, journalism is the surest way to success and we feel very good about the road ahead as Susan and her team continue to make that happen on a daily basis. Just as importantly, Susan and CBS Interactive continue to collaborate to grow CBSN which is now averaging more than 1 million streams per day and where our average viewers median age is just 37-years-old. Speaking of digital, CBS All Access continues to grow quickly by becoming a very compelling consumer proposition. It offers all our premium content in news, sports, and entertainment and expanding slate of original series, live local television, catch up viewing in a broad 12,000 our library of content streaming on virtually all devices. The vast majority of our All Access viewers or in the 18 to 49 demo. So, as All Access consumption increases, we are reaching younger consumers all the time. Another good data point we've seen is time spent on All Access, which is up over 60% and growing even faster than total streams and it's mostly as a result of adding more original series and we're giving our subscribers more high-profile originals, from the debut of next week's committed Drama Why Women Kill to the second new Star Trek series, Star Trek Picard to two big named projects we recently picked up the same, which is based on a book from the best-selling Simon & Schuster author Stephen King and the man who felt to from outskirts, who oversees the Star Trek franchise for us. And today I'm pleased to announce that we are broadening our reach to add kids programing to All Access, later this year All Access will begin rolling out 1,000 episodes of library programming and new original seasons of danger mouse and cloudy with the chance of meatballs, so now our subscribers children will have premium content to watch too. At Showtime we're also accelerating our investment in content this year with about 40% more original programing than we had in 2018. Much of that programming is coming here in the back half of 2019. This includes the premiere of two dark comedies, Back To Life and On Becoming a Guard in Central Florida, which is executive produced by George Clooney. And we have several of our fan favorites coming up too including the Affair, Shameless, Kitting and Ray Donovan as well as the highly anticipated return of the groundbreaking series The L Word. Like All Access, our programming investment is driving significant growth on our Showtime OTT platform. In fact, this year ShowTime second largest source of distribution revenue is pacing to be broadband, surpassing telco and satellite and only behind cable. Showtime OTT is proving to be attractive to the growing number of broadband only households, which are often younger viewers as well. And like All Access, ShowTime subscribers are also viewing more and more content over the top, with time spent approximately 30% this year. Turning to publishing. Simon & Schuster continues to grow on the strength of its content and there's more to come later this year, with new titles from some of our best-selling authors including Stephen King and Vince Flynn, as well as the father-son team of Nielsen and Alex to mill and the mother daughter duo of Hillary and Chelsea point. In local Media we are ramping up our investment in direct to consumer by launching new local versions of our digital news network CBSN. We have already successfully launched in New York and Los Angeles. And by early next year, we plan to have local versions of CBSN in all 13 major markets where we have News Operations. This will enable us to have a more robust multiplatform approach by the time the next election cycle really gets going. So we can fully capitalize on what we expect will be a record year for political spending. Now, before I turn the call over to Jo Ann, I want to touch on an important announcement you've likely heard about this morning. And that is our new powered agreement deal with AT&T, we are very pleased to have achieved an agreement that recognizes what CBS brings to the table. We have now successfully completed three very significant carriage deals one with AT&T, one with Altice, and one with Nexstar in the span of less than two weeks. As a result, we remain solidly on track to achieve the retrans and reverse comp targets we laid out for you previously. So we had a strong first half of 2019 and we have many clear proof points that our strategy is working. We are growing our retrans and reverse comp. We are accelerating the growth of our direct to consumer businesses. We are pursuing new opportunities in audience monetization and we are expanding in the international marketplace, where we see our biggest opportunity over time, particularly in direct to consumer. And all of this is driven by our investment in must-have premium content. So, now as advertised your [indiscernible] I'd like to turn the call over to the Dean of Advertising, Jo Ann Ross, take it away Jo Ann.
Jo Ann Ross: Thank you, Joe. Hello, everyone, I'm happy to be here to discuss the health of our advertising business. We are in a great run in 2019. And that reflects the strength of our ad sales team, which is the best in the business. We have integrated digital and network into every negotiation, which was a big transformation and now we're reaping the benefits. Going into each sale fully aligned has enabled us to bring the full power of our multiplatform Company to the marketplace. And you are seeing the results of that today. Our team drove impressive results both in the quarter and in the upfront, which folds well for the new season, thanks to the power of our number one primetime schedule, the CBS Television Network, our robust scatter market in the second quarter with healthy premiums above upfront rate. This helped to drive underlying network advertising revenue up 3% during the quarter, an acceleration from Q1 when it grew 1%. The momentum continues as we gear up to launch our new fall schedule. We had remarkable client interest and excitement about our new lineup, resulting in a very strong, up from sales performance for the 1920 television season. CPM increases across the network schedule were substantial. It was the strongest upfront , we've seen in recent years, most notably in prime time and late-night. We are really pleased with the results and believe that our rock solid performance was driven by several key factors. The first was our loyal viewership. CBS finished the 18-19 season as the ratings leader to be a 11th consecutive year. We anticipate CBS being number one again in the upcoming season. The second was our strong schedule. Marketers and agencies understand the value of our premium brand safe content and as I mentioned earlier, they are bullish on the direction of our new dramas and comedies and the returning favorites that we presented. Strong daypart growth was another significant contributor and our upfront performance. Prime time and late-night led the way and CPM rate of change boosted by our long winning streak in primetime and the rise of Stephen Colbert to is number one position in late-night. Stevens dominance which included winning the key 18 to 49 demo drove new advertisers and categories to that daypart and sports news in daytime showed solid growth as well. Healthy category growth is also a factor. We saw year-over-year increases in almost every category during this upfront. CBS remains an important investment for pharma, financial, insurance until companies in late-night retail QSR and auto were especially strong. Brands and emerging categories such as direct to consumer companies like chile.com, pellet time, Uber Eats and others are turning to television advertising more than ever using the unparalleled reach of broadcast to drive awareness and sales. The immediate and significant sales lift these brands have seen from their growing scatter investments for CBS has led to more robust planning and spending in the upfront. And another driver for us, digital. Digital sales in this year's upfront shows significant pricing increases from 2018 levels. Thanks to our leadership position and OTT, we are seeing is greater share of premium digital video budgets than ever before. Our direct consumer offerings including CBS All Access CBS.com CBSN and many of our other sites are giving brands extended unduplicated reach as well as the safe and transparent option in their media planning. So we are combining the power of the Number 1 network from beatable scale with the reach engagement and targeting of our leading digital properties to give advertisers a one-stop option to build awareness ignite interest and drive sales. In a rapidly changing media landscape, the success of the CBS ad sales team is built on the strength and stability fueled by innovation and creativity. By capitalizing on our deep and establish relationships and taking a personalized an integrated approach with all our clients not only are we growing revenue. We are also finding new and impactful ways to deliver value to brand in every category across our linear and digital properties. CBS has the biggest platform in media. It provides brands with unmatched ability to reach millions of current and prospective customers. Companies like Amazon, Facebook, Google and Netflix are spending big, big dollars on Network Television. When they launch a new product, where do they advertise on Network Television. In addition, our line of a popular digital and cable properties give CBS the unique opportunity to offer our advertising clients the scale targeting and outcomes they require in their media plans. CBS Interactive is made up of more than two dozen digital media properties including CBS.com CNET, MaxPreps and Skout [ph] as well as our growing stable of AVOD platforms, which include CBS All Access, CBSN, CBSN local, CBS Sports HQ and ET Live and we bring all of these properties collectively to market with great success. So while CBS clearly offers advertisers the value of quickly powerfully and safely reaching large audiences, we are also poised to capitalize on the opportunities emerging across the advanced advertising landscape to further monetize our audiences and deliver even better ROI to our clients. Data-driven linear was the starting point to move beyond demo to audiences. Looking at what's next, CBS is moving fast towards addressable TV via set-top boxes and smart TVs. This has the power to revolutionize the advertising to get us all closer to that not so distant future of delivering a brand's message to the right consumer at the right moment and to drive their business. This is already happening on our OTT platforms. And as always, CBS is committed to providing brands and agencies with the most precise and insightful measurement, reflecting the impact of their advertising. The universal goal in the industry is to get to a place for every single view or is measured and monetized no matter where and when they are watching and we are making great strides towards achieving that. So as you can see we've had a strong first half of the year in advertising, we had a fantastic upfront and we can't wait for the NFL and SEC football season kickoff and are highly anticipated new lineup to premiere at this fall. We are energized by the great potential ahead to monetize audiences in new and exciting ways. We have our eye on the future an immense pride in the strength, stability, and consistency our company deliver year-in and year-out. Speaking of delivering, here's to tell you more about our financial results, Chris Spade.
Chris Spade: Thank you, Jo Ann, and good afternoon everyone. As you heard, the premium content, we offer across our company is driving our results in advertising just as fueling increases in our other key revenue sources. As a result, we delivered second quarter records in revenue, operating income and earnings per share. Clearly, our must-have content is the cornerstone of our success today and as we continue to execute on our long-term strategy by investing in our programming and direct to consumer streaming services, it will continue to drive our growth in the future. Let me tell you about our second quarter results. Revenue was up 10% to $3.8 billion. Advertising overall increased 7% driven by the broadcast of the semifinals and championship game of the NCAA men's basketball tournament. As you heard from Jo Ann, underlying network advertising was up 3%, an acceleration from Q1. Content licensing and distribution was up 12%, the increase reflected higher domestic licensing sales of our library programming which will continue to generate revenue for us for years to come. Affiliate and subscription fees grew 13% led by a 43% increase in revenue from our direct to consumer platforms, CBS All Access and Showtime retrans and reverse comp, continue to grow and were up 17%, including strong increases in virtual MVPD revenue in terms of subscribers. Our overall subs from CBS and Showtime, continue to grow year-over-year with the strongest increase is coming from both CBS All Access and Showtime OTT. Operating income grew 1% to $702 million in the second quarter as we continue to invest in our content and our direct to consumer services and earnings per share for the second quarter grew 4% to $1.16. We also delivered strong growth for the first half of the year. On a year-to-date basis revenue of $8 billion increased 10%, which is consistent with the second quarter and again we delivered growth across our three key revenue sites. Advertising was up 13%, content licensing was up 5% and affiliate and subscription fees were up 13%. Operating income grew 1% in the first half to $1.5 billion and again includes our higher investments in our growth initiatives. And EPS for the first half of the year was up 2% to $2.53. Now, let's turn to the quarterly performance of our operating segments. Entertainment revenue increased 14% to $2.7 billion in the second quarter with growth across all of our revenue sources. Advertising was up 9% driven by the final for in NCAA championship gain. Content licensing and distribution was up 18%. Thanks to our domestic licensing sales as well as the increase in programming we're creating for third parties. And affiliate and subscription fees grew 22% driven by a reverse comp and subscriber growth at CBS All Access and virtual MVPD. Entertainment operating income was up 16% to $426 million even with our higher investment in content, particularly at CBS All Access, which added The Twilight Zone during the second quarter. Cable Networks revenue increased 2% to $562 million in the second quarter driven by growth in our Showtime direct to consumer service as well as the inclusion of [indiscernible], which we fully acquired in March. Cable Network's operating income for the second quarter decreased $285 million reflecting our higher programing investments as well as the timing of licensing our original series. And as Joe mentioned, for the full year, we are adding about 40% more original programing on Showtime than we did last year. In publishing revenue increased 5% to $218 million with growth in print and digital audio sales. Best-selling titles during the quarter included new books from Howard Stern and David McColl. And publishing operating income increased 6% to $33 million. Local Media revenue increased 1% to $423 million compared to last year when we had strong political spending. The increase was driven by higher retrans along with the final [ph]. And local Media operating income increased 2% to $230 million. Turning to free cash flow for the second quarter, we had an outflow of $157 million compared with an inflow of $296 million in the prior year. The decrease was largely driven by two things. Higher programming investment and tax payments. First let's talk about the taxes. During the quarter, we made a one-time cash tax payments of $260 million. This payment was driven by tax regulations that were finalized in 2019 and affected the timing and calculation of taxes that we hold on the repatriation of foreign earnings. With regard to our content investment we invested 20% more in programming during the second quarter than we did in Q2 of 2018, because of the proof points that we're seeing in our growth strategy, we believe the highest and best use of our cash is to continue to invest in our premium content and our direct to consumer services. And as our business model continues to transform, we are creating additional financial flexibility that allows us to be opportunistic in how we prioritize the use of our cash. Now, let me tell you what we see ahead in our three key revenue sources. From our strong start in 2019 with the Super Bowl through the NCAA men's basketball tournament and PGA golf to our healthy upfront pricing that will take effect in Q4, we expect 2019 will be a record year in advertising. In content licensing, we continue to ramp up our investment in programing and are creating more content than ever before with 89 series across 15 broadcast cable and streaming outlets. So we are uniquely positioned to license more shows to outside parties, build upon our content library and drive long-term growth in our direct to consumer platform by adding more original series. In addition, as others pull back from the licensing market, we continue to believe the upcoming scarcity will create opportunity for us. So we feel very good about the strength and flexibility afforded to us as creators of premium content. In affiliate and subscription fees, we are confident we will reach our goal of $2.5 billion in revenue from retrans and reverse comp in 2020, and we are growing revenue and subscribers on our direct to consumer services, by adding more original programing. So we feel very good about achieving our target of $25 million subscribers combined by the end of 2022. So in summary, as we continue to execute on our long-term strategy of investing in premium content to accelerate the growth of our direct to consumer streaming services, we are delivering robust growth in OTT subscribers and in revenue with increases across our key revenue sources for both the second quarter and the first half of the year. With these solid results, we feel very strongly about our ability to achieve our three-year guidance of revenue CAGR in the high-single digits and EPS CAGR in the double-digits. With that Greg, we can open the line for questions.
Operator: Thank you very much, Madam. [Operator Instructions] And first from Morgan Stanley, we have Ben Swinburne.
Ben Swinburne: Thank you. Good afternoon. Jo Ann, thank you for all that color on the ad market. One of the big themes this quarter across earnings has been the role of digital inventory and driving upfront sales in the business and you talked about that a bit. So I'm wondering if you could give us a little bit more on maybe sizing, how much of your upfront gains came from your digital inventory? And if you'd be willing to size the digital ad business for CBS. I think you guys will do about $6.5 billion of ad revenue for the year or this year, maybe more. Could you give us any sense of how big the digital business is inside of that? And where are the biggest sources of inventory for you across the CBS digital properties? And I'll just ask my follow-up maybe for Joe. Altice, AT&T, TEGNA you guys have been quite busy on the renegotiation front. Should we expect to see affiliate subscription revenues in your Entertainment segment that growth rate to accelerate in the back half? And are you able to put all these deals, get the Mall side. Thank you, guys.
Joe Ianniello: Ben, it's Joe. I'll take the first, -- the second part and then Jo Ann will go. Those deals have those expiration date so they're factored into our financial targets we laid out for you previously. So it's just when they come up. So, our team is has been busy at work. I mean you have seen the results in that affiliate and subscription line, I think you're going to continue that. And like Chris said, we feel very comfortable with the $2.5 billion we laid out. And if you remember from two Investor Day -- days ago we were 2011 which is almost a decade ago that number was hundreds of millions of dollars. And so, we're pretty proud of the track record of success, we have and that track record is built on the premium content that our team is able to stand behind. So we feel really good about that. But the timings or whenever the timings expire and we flow that in. But Jo Ann.
Jo Ann Ross: Thank you. So yes, I think I'd start with how we went to market as the combined sales team, with Network and interactive working hand in glove and working with the agencies that are set up as video investors. They don't separate what's going on in digital from what's going on broadcast. And our digital sales of the upfront was very, very strong and the CPM increases were basically in line with the CPM increases in prime that we saw in linear. And their top categories of digital going through were pharma, which is interesting success also tough category for us in broadcast, telecom and consumer products. And I think the important proof point here is that there is no question that [indiscernible] our success with digital was driven by the fact that we have all OTT brands that people want to buy in complement to the CBS brands. And as a leader in OTT, we are seeing a greater share of premium video budgets than ever before, whether it's on the CBS all Access or cbs.com or several of other platforms. Obviously, the CPMs there are important, because they're giving us reach and targeting and we have new clients that are coming to Digital. As mentioned, we see the clients like Google and Netflix and the Digital Native coming back to CBS. We're positioned really, really well going forward. And don't forget, we also have CBS Sports HQ we have ET Live, five years ago we went all in on OTT and then we have gone into CBSN CBS local and people are looking for premium digital did premium -- video content, and that's what we're getting them. So yes, a big success for us in the upfront related to our digital properties.
Anthony Diclemente: Thanks, Ben. Greg we will take our next question, please.
Operator: Sure thing. Next we have Jessica Reif Ehrlich with Bank of America Merrill Lynch.
Jessica Ehrlich: Thank you. It so great that Jo Ann is on the call. So I think this is going to be a lot of questions for you, Jo Ann and I am going to continue along. This is the best upfront in recent memory. And I would love to get your take on what's going on in the overall market? Where the dollar is coming from, -- is it coming from Digital? Or somebody losing share and how has CBS a share of advertising dollars changed over the last few years? Who do you see as your biggest competitor in the markets? Is it -- I mean I don't want to put words in your mouth. And then so far you've been really good at avoiding any specifics on CPM growth overall and volume. If you could give us any color on that. And you kind of alluded to targeting if you could just maybe talk about where you are in targeting on linear.
Jo Ann Ross: Just going back to our benefit as the upfront. In general, and I think you may have heard that on some other earnings call is the strongest and the best upfront I've seen in years. And I've been doing this for a long time, but I want to talk about why we are seeing the influx of money because the way we're positioned. You have to remember, we have the biggest broadcast that work on CBS reached over 240 million viewers this past season across all daypart were stable, people love our programing on linear. They know what they're buying, they know we deliver, they trust us, and we have the biggest reach. So we have that going for us. And then we marry it with what's going on with technology and consumption patterns and we were, I'll say it again, we were the first mover in the OTT space. And as Joe and Chris spoke about, we keep pouring money into the original content and clients are out there that want this original premium video that's to the safe and well let environment and we are offering that we're not playing catch up. CBS All Access has been a huge success with the programing that's selling there. I believe the CBS is a leader in the market. So the competition is everybody that's behind me. But again in the space that we're in, we have been first movers in terms of technology and addressability that will be the Holy Grail and we're working with MVPDs we're working with Nielsen. We have a lot of conversations going on addressable is not there yet and is probably will take a while to scale. But we're looking at something maybe towards the back half of 2020 or earlier in 2020. But the MVPDs and the OEMs have to get their act together. But we are having conversations with all of them and if clients want to test and learn with us on data driven linear, whether it's in scatter or during the upfront, we're able to do that as well. I think I've covered everything.
Operator: Next, we have Alexia Quadrani with JP Morgan.
Alexia Quadrani : Thank you very much. Just sort of staying on the digital advertising topic, when we look at CBS All Access, can you give us a sense of what the revenue mix is an All Access between advertising and some revenue and in which revenue stream you more excited about and maybe how big of a step-up, are you seeing this year given the strong demand in advertising. And then just a follow-up, I think on your announcement on moving into the kids programing and All Access. I may have missed it, did you say when that was going to be introduced and will be see a step up in marketing spend around that to attract new demo?
Joe Ianniello: Alexia, it's Joe. Just All Access subs, two-thirds of the All Access subs are taking the limited commercial option. So obviously, the vast majority of that that's a 99 price point. Obviously, there is still advertising in the live linear portion of that. So we do have that two-pronged approach, but we obviously operate with a subsidy of advertising for 599. And so like I said, the mix is there. We're very cognizant of the pricing, so we premium price the stuff on Digital so that it doesn't lower the price point on linear. So we are sensitive to that. So we're very -- we are indifferent if somebody signs up for 599 plus the advertising or the 999. I think again more and more just to consumer preferences are leading to the ad free eliminate adds as I said the 99 product and as we roll that out internationally, we will obviously be going again with the commercial-free option. So as we're sitting here today, I think the subscription revenue is a huge opportunity, but again the advertising and the targeting capabilities is also big. The key program will roll out later this year. Like I said it's 1,000 hours. There is going to be some library but new original seasons of some pretty big franchises and again because of the average age of those subscribers have young children, we just thought it was such a sweet spot really a natural way to expand our premium content. So we're really going to look for some proof points there to expand the sub base based on expanding the product offering. So we feel pretty good about that.
Chris Spade: And Alexia, this is Chris, just to answer your marketing question. We will market more and we have been marketing more consistently this year with our added original series offerings.
Operator: And next we have Michael Nathanson with MoffettNathanson.
Michael Nathanson: Thanks. I have two, sorry, no advertising questions, Jo Ann. I have two for Joe. Joe, can you help us just think through the profit picture of when you make a show as far as service or Cable Network. What types of right to your retaining and what's the payback versus maybe doing your own NCIS is where you keep all right and Syndicated. So, any color on kind of the wind doing and when do we expect to see the payback. And then secondly, on the kids question and kids content, what type of research do you have about -- is kids an opportunity if you add new subscribers? Is that something that you're Research to be a whole in service and you think that could drive incremental subscribers as kids becomes a bigger programs [indiscernible]?
Joe Ianniello: Sure, Michael. Yes, obviously making this investment in Kings program, we believe that and we also believe, Michael it reduces what the word I guess the term is churn, again I think we terms it pausing. So we're trying to eliminate that I think again kids programing is critical to that because, again, it's just more things for more people because if you just think about the family a subscriber. Everybody has different preferences. So we want to serve all those appetites and so we feel adding this kids programing is going to drive new subscribers and reduce churn. The analysis we go through about licensing, Michael, obviously, is fulsome because when we make a show the question is we can license it to some third party and we will receive licensing revenues. Obviously, we're protecting the underlying library value. So it certainly comes back to CBS some point down the road as opposed to keeping it on our new service. And so what we -- the analysis really is how many new subs that we think we can drive with the infrastructure we have in place. Compared to the licensing revenue, we can receive from this other third-party now. This other third-party happens to be larger than us. They might be able to put it through a different infrastructure to make more money and thus pay us more. We will then take that money and do two more shows and build our own service that way. And so again, because we haven't -- we've really not fully able to exploit these opportunities internationally yet, we're really limited to the United States, which are again great. But it's only 325 million people. So somebody could put it through an infrastructure that has billions of people. Our thought is if they're willing to pay us that we're going to look at that hard. But if they're not, we're going to put it through our own infrastructure. So it's a high-class problem but we literally do it, Michael, franchise by franchise because some think some brands and titles or franchises are great -- Star Trek is obviously -- in demand. And so for us it's about quality premium content and putting volume through our offerings. That is our priority. That's why I said international is our largest opportunity.
Michael Nathanson: Joe, but most you're attaining your long-term rights, right? So that we'll revert back to you over time, as you said are on that?
Joe Ianniello: That's correct. Michael.
Operator: Our next from Guggenheim, we have Mike Morris.
Michael Morris: Thanks, good afternoon guys. A couple of more programming questions. My first one is about the programming asset that you have been investing in and building and you talk about the ways to monetize it. But my question I guess is how much of this asset that you've built so far and continue to build is fuel specifically as you grow these domestic OTT platforms that you've laid out some goals for us and how much is monetizable being contemplated for monetization, whether it's through licensing or international? And I guess what I'm really trying to get at is the opportunity on the licensing side I mean you had a strong quarter, this quarter and content licensing and how much of that may be under-appreciated relative to the domestic OTT trajectory that we kind of already know about and then I have a follow-up as well.
Joe Ianniello: Yes, look, I think that's a very good point, Mike. I think again some of these assets, we're building again as that for our own services. And that's based on the research that we have from all of the data, we're getting when subscribers churn. And so we know original series really drive intend to subscribe. We know key engagement metrics as we put more and more originals on the service are really no significant. Again, that's why we're time spent number of streams. All of these things, we're getting more and more data on that. Now, that said, we're doing things differently. Again I use an example of The Good Fight that is premiered on CBS All Access is now on the CBS Network. I mean that is a high-quality show that obviously would cost a lot of money to produce, but we you can see how we're utilizing that asset. Again that's internal, but obviously we could have license The Good Fight outside of that. So we're continuously building that library value, where we have nearly 1,000 episodes of premium content that we had not yet licensed. And so again we're strategically holding that to see how this market place moves, but yet we're still putting it through our own funnel again to drive engagement. So again we, as we said in our remarks, we think we're operating in the sweet spot. We think we have the ability to continue to produce for others. Again, I look at 90210 for Fox, which premiered nicely solid in the key demos great for Fox. It was only behind in total viewers to Big Brother. But it was a great show. We're doing Diary of a Female President for Disney Plus. The show is on Netflix. So we're continuously be able to do that yet we're still creating library value in the future for things we haven't yet monetize. So that's why this machine is like pushing a snowball downhill it's getting bigger and bigger.
Chris Spade: And Mike, it's Chris. To that, I'd also add that it's really important, and where we are now to shows the rate for the show. So, as Joe said, in our fall schedule, we own 85%, which is more than we've had so once we own the rights. We can monetize it. And we have a lot more flexibility, which is where we want to be.
Michael Morris: On The Good Fight, that was the whole of what I wanted to ask but Joe you brought it up, can you just tell us what was the impetus to make the move? I mean I think it's a very logical. We talked about it before, but how did you evaluate the success of it. And is it something that you would do with any of the other programs you have on All Access right now?
Joe Ianniello: I think what we're doing is we're doing it in a case-by-case basis. Again, I don't think it's anything -- any policy that we're seeing. Again it was to basically introduce The Good Fight, which we think is a highly acclaimed show to a much broader audience. That's on the CBS Television Network. Again, that was just season one. So, if you like season one you can now catch up. So when in coming months for seasons two and three and in January, you'll have season four. So we're going to be looking at the uptick like sometimes we license shows to syndication in the drives consumption of current seasons. So again, similar type of analysis is really what we're looking for to introduce again content while again we're selling advertising against the Good Fight which rates well. It's a high quality show, so it makes sense, it's on the CBS Network. But again, it does that is expanding and we can drive a CBS All Access subscriber. That's going to be a good use of that property.
Operator: Next we have Doug Mitchelson with Credit Suisse.
Doug Mitchelson: Thanks so much. I want to go back to the -- but first, I wanted to say Anthony to bang-up job in that Safe Harbor. So Jo Ann, I wouldn't say let the market. So who won and what was your strategy around inventory? Upfront pricing was strong, but you have to comp big scatter pricing increases that you have the season. So do you sell a lot of inventory to strong upfront or you hold back and hope the scatter market stays strong and-or in that your ratings are good and I got a follow-up for Joe.
Chris Spade: Thank you. Yes. So I've been doing it for quite some time along with my team, again the most stable ad sales team in the business and our Interactive team led by David [ph], the most experienced ad sales team in the business. So, if you evaluate every market differently, we did see signs early on as early as March that this was going to be a strong upfront based on conversations that we had with our clients in the agencies and that was before we announced our schedule coming out of May after the schedule announcement. We also sell to a lot of pressure to kind of move quickly from clients and agencies because I believe that with the influx of new categories and I know other people have talked about the Digital Natives. We were also first-mover in that space going back, probably 15 years ago with us little client that has the norm as its mascot. Anyway we knew what was coming, because we had seen strength in scatter in every quarter. And we kind of like we're back into numbers, it's not an exact science, but we do see a whole landscape before we send out our first plans and we see the whole landscape usually through different ways client interest what's been spent. We go back to historically, but for unknown comps of where the sellout is it's probably very similar to where we were a year ago and we're well-positioned for the scatter market going forward which has already started to percolate. Clients are still out there, but in their presentations together and presenting, but since we finished the upfront, we've written more money in NFL and an SEC which final move separately, it moved along with the upfront this year, but we're already seeing that market pacing along very nicely. So, again, not an exact science to shift with the ratings into the equation, but anybody that's been in this position, and the other teams that we work with across the company, obviously can look at historical information key data points and know where we're going to be going. And then I have to present to Joe. So that's always a lot of it.
Joe Ianniello: And so, Doug, I would just say our strategy is going into these upfronts. We're always willing to bet on our schedule and that proves out year-in and year-out. And so, as you all know, the scatter premium is significant above upfront. So I'm very careful not to sell too much in the upfront because certainly Jo Ann explained [ph], more and more money, but again like I said is I think the upfront is a hell of a deal for advertisers. So I'd much rather sell in the scatter where there's more scarcity now and based on our performance. And so as Jo Ann, it is art not science and the proof points and the track record we have are undeniable. So we are as bullish as we can be on advertising.
Doug Mitchelson: It feels like all those have increased [indiscernible]. It's all right now, if I can ask a follow-up for Joe, I just wanted to an update on international streaming. I mean, Joe, you keep talking more and more about the experience and scaling streaming services. Is there a big opportunity overseas, when do you get the content back, but you can actually go after that anything on international be helpful, thanks.
Joe Ianniello: Yes, sure. I mean, as we said on our last call, I think, Latin America and Europe is kind of up next for our rollout. And as you said, I'm trying to give our team some flexibility timing because we want to get the offering. But there is a strong demand in premium content delivered via broadband in the international marketplace and it's incumbent upon us to serve that appetite. And so stay tuned for more down the road, but again I just look at the number of people in the consumption of a Netflix's subs. So I'm very encouraged that this is single-handedly the largest opportunity that we have in front of us.
Operator: Next is Laura Martin with Needham & Company.
Laura Martin: Hi there, maybe two on OTT. So Joe, one of your competitors is talking about putting together a bundle of three services there, you guys also own a number of services. Could you talk about your thinking about the power of bundling your both ad-driven and subscription-driven services together as a marketing tool? And then staying on the subject of marketing, as you think about some of these new Apple plus Disney Plus some new competitors coming to the marketplace, how does your marketing strategy you have to change because I lost on nobody that you've been in the market with All Access for four years and now you're introducing Kids right as Disney comes into the market, right on top of them. So it feels like you reacting a little bit two new entrants. So could you talk more generally about how your marketing plans need to change market competition certainty?
Joe Ianniello: Sure, Laura. Your first part about OTT, look, we offer CBS All Access and Showtime together. It's an opportunity we don't force consumers to do it. They can buy part, if they want to buy them together, we obviously discount that. We think the again those are different offerings and complementary. So we like that. So we have that available. So, I can understand why others want to kind of do that together because people will subscribe for different reasons. So like I said, we've been doing this. As you've said All Access is actually almost five-years-old. So, we've been at this. The Kids programing is really has nothing to do with Disney at all quite frankly, it has to do with the data and the research that we've done on the service, based on the consumption patterns, the average age of the viewers. So really it's that's really led us to doing this. And as you said, if you've seen all along, Laura All Access first started is really serving the super fan giving CBS some kind of catch-up viewing abilities, deep library. Then we added live linear programing to it. Then we really started producing originals and that is all based on data that we got back from our consumers. So, this is a natural progression for us. So we're going to continue to roll it out, but we've been pretty measured with the investment spend, you see that come through the P&L. But I think we've been pretty judicious about managing that and again it's all proof points along the way.
Operator: Okay. In that case will take the final question from Dan Salmon with BMO Capital Market.
Dan Salmon: And I'll take you back to have one last one for Jo Ann. Jo Ann, look, obviously CBS probably is known first and foremost, to large advertisers for all the great content and anchoring their big branding and awareness campaigns. But as the business gets a little bit more digital over time, do you think CBS needs to be looking more at direct response style advertising, which makes up the vast majority of the online spending? And then similarly you've also got a really strong local footprint as well, as the business becomes a bit more digital. Do you think it makes sense for CBS to be looking at self-service? Or the type of tools that can be used by more small and medium-sized businesses? Thanks.
Jo Ann Ross: Good question. On the direct response piece of it, I don't have a concern now that we would have to go that route just based again on all the data that we have and the fact that we are America's most-watched network for the last 11 seasons. To answer it a different ways, the demand is still there in broadcast for the big advertisers and for some clients and some advertisers, they are going to migrate to digital. But I do not see the direct response replacing what we're seeing now in our ecosystem. They're always going to want that big, big breach. And then on digital, those are clients that may be going more niche, more targeted and we're doing that actually on OTT right now. I don't recall the second part of your question.
Dan Salmon: Just whether do you think -- yes, we see a lot of the big digital platforms will build self-service platforms or self-service tools so small and medium-sized businesses can use it themselves. Is that something you think makes sense for CBS?
Jo Ann Ross: And you are targeting that as more of a local play?
Dan Salmon: Yes, usually, not the type of thing the Procter & Gamble's using on a daily basis but more small and medium-sized businesses that might do advertising as well.
Jo Ann Ross: I mean if you look at some of the bigger services like Google and Facebook, a lot of their revenue is driven by local. I don't see our digital play going that way because we're offering premium save content, premium video and the local players usually like of the message boards or the story boards, where Facebook is creating content about the latest diet. So I don't see that as a game changer or a game plays for CBS.
Anthony Diclemente: All right, thank you everyone for joining our call. And this concludes today's call.
Operator: Once again, ladies and gentlemen, thank you for joining us today. You may now disconnect.